Operator: Greetings and welcome to the Grupo Aeroportuario del Centro Norte OMA Third Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce Emmanuel Camacho, Investor Relations Officer. Thank you. Mr. Camacho. You may begin.
Emmanuel Camacho: Thank you, Doug. Good morning everyone. Thank you for standing by and welcome to OMA's third quarter 2019 earnings conference call. We have today Ricardo Dueñas, OMA's Chief Executive Officer; and Ruffo Pérez Pliego, Chief Financial Officer. They will discuss OMA's third quarter 2019 results announced yesterday.Please be reminded that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our control.I will now turn the call over to Ricardo Dueñas.
Ricardo Dueñas: Thank you, Emmanuel. Good morning everyone and thank you for joining us today. This morning, I will review our third quarter operational performance.OMA delivered another solid financial and operating performance in the third quarter of 2019. Adjusted EBITDA grew 14.5% in the quarter and adjusted EBITDA margin reached 74.1%, an all time high, largely as a result of the increasing both aeronautical and non-aeronautical revenues, which grew as a consequence of the performance of revenues and passenger traffic during the quarter as well as cost efficiencies.The cost control initiatives implemented, mainly aimed at reducing overhead expenses, continued to be key to our performance during the third quarter resulting in a decrease of 2% in cost of airport services and G&A.Our cash flow generation was strong, with nine-month cash flow from operations reaching MXN2.8 billion. This enabled us to fund our Master Development Program, strategic investments, and a cash dividend paid to shareholders out of funds from operations.OMA has now delivered 39 consecutive quarters of growth in aeronautical and non-aeronautical revenues and 33 quarters of adjusted EBITDA growth.Passenger traffic reached 6.1 million passengers in the third quarter, up 6.9%. Nine airlines increased passenger volumes. The largest contributions to growth came from Volaris and VivaAerobus.Total available seats increased 6.8% as airlines deployed more capacity and increased frequencies, mainly on regional routes during the quarter. On our five routes that contributed most growth in the quarter; Acapulco-Mexico City, Culiacán-Mexico City, Culiacán-Tijuana, Zacatecas-Mexico City, and Ciudad Juárez-Bajío, the total available seats grew a combined 31% versus the third quarter of 2018. Additionally, two routes were opened in the quarter, while one closed.On the commercial front, we implemented 21 initiatives in the quarter, including restaurants, bank services, and hotel promotions among others. Commercial revenue grew 12.3% and the occupancy rate for commercial space in our terminals was 99%. Diversification activities delivered a solid performance, with revenue growth of 9.7%, driven primarily by increases in OMA Carga and hotel services.Total investment in the quarter including MDP investments, major maintenance, and strategic investments were MXN357 million. Capital expenditures have accelerated in the quarter, mainly due major projects underway which include: expansion of the public area in the Monterrey Airport Terminal A, expansion of Terminal C in Monterrey, expansion and remodeling of the Tampico terminal building and a modernization of the Zihuatanejo terminal building, a new passenger terminal building in Reynosa and works on runways, taxiways, and aviation platforms in several airports.I am pleased to announce that during the quarter, we inaugurated the expansion and remodeling of both the Chihuahua and San Luis Potosí terminal buildings. We had a combined investment of over MXN700 million in the project and expanded more than 14,000 square meters in additional terminal space, as well as almost 10,000 square meters in remodeled areas.In addition, the new Reynosa terminal project is scheduled to be completed and inaugurated in January. We expect that this investment will help OMA contribute on our path of higher aeronautical and non-aeronautical revenues.I would now like to turn the call over to Ruffo Pérez Pliego, our CFO, who will discuss our financial highlights for the quarter.
Ruffo Pérez Pliego: Thank you, Ricardo. Good morning, everyone. I will briefly review our financial results and then we will open the call for your questions.Turning to OMA's third quarter financial results. Aeronautical revenues increased 10%, driven by the 6.9% growth in passengers. Aeronautical revenue per passenger rose 2.9% in the quarter. Non-aeronautical revenues rose 11.2% with commercial revenues making the largest contribution to growth.Commercial revenues increased 12.3%. The best performing categories were car parking, restaurants, VIP lounges, and car rental. Parking revenue was up mostly, because of the higher volume of operations and an increased average ticket, mainly in the Monterrey, Chihuahua, Ciudad Juárez airports.Restaurant revenues grew 18% as a result of higher revenues from royalties in Ciudad Juárez, Chihuahua, Monterey, and Culiacan airports, as well as the beginning of operations on restaurants in our renewed commercial spaces in Monterey, Chihuahua, and Acapulco.VIP lounges grew 43% due to higher volume of users, as well as the openings in Terminal C and Terminal B of the Monterey Airport, San Luis Potosí, and Acapulco airports. Car Rental revenues rose 10% because of the leasing of seven new rental locales during 2019 and improved contractual terms. As a result, commercial revenues per passenger increased 5.1% to MXN38.5.The diversification activities grew 9.7%, mostly driven by OMA Carga and hotel services. Total aeronautical and non-aeronautical revenues reached MXN2 billion. Construction revenue increased 3.2%. This is a non-cash item that is required under applicable accounting standards. It is equal to construction cost of improvements to concession assets. So it has no effect on earnings.OMA's initiatives to control overhead expenses implemented throughout 2018 continued -- to continue through our results in the third quarter. The cost of airport services and G&A expense decreased 2.0%.During this quarter, we had a lower cost of basic services, such as electricity, water, as well as insurance and professional fees, primarily. The impact of implementation of IFRS 16 resulted in a reduction of rent expense in 3Q 2019 relative to 3Q 2018 of MXN 9.1 million, including the cost of hotel services.OMA's third quarter adjusted EBITDA increased 14.5% to MXN 1.4 billion, and the adjusted EBITDA margin was 74.1%, up 274 basis points. Primarily as a result of all these factors, consolidated net income rose 18.2% to MXN 858 million.Our cash flow generation from operations was also a strong. Total cash from operating activities rose 0.4% to MXN 2.8 billion during the quarter. This principally reflects the strong operating performance of the company as well as increased cash taxes paid over the quarter.Our cash flow generation -- this concludes our prepared remarks. Now, please open the call for questions?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Alan Macias from Bank of America. Please proceed with your question.
Alan Macias: Hi. Good morning. Thank you for the call. Just turn on margins. What are your expectations for next year? Is the 74% EBITDA margin sustainable? And if you could just give us color on why insurance costs have decreased significantly during the quarter and year-to-date. Thank you.
Ricardo Dueñas: Sure. The third quarter margin was quite high. We believe that in the fourth quarter, we should reflect some inflationary catch-up in overall costs, which would offset some savings, generated in utilities and insurance. However, we believe minus around 73% for the full year should be achievable. On the insurance front, we conducted a competitive process that allowed us to reduce the insurance fees by our influent [ph] margin.
Alan Macias: Thank you.
Operator: Our next question comes from the line of Mauricio Martinez from GBM. Please proceed with your question.
Mauricio Martinez: Hi. Good morning, everyone. Thank you for taking my question and congratulations for the great results. It got my eye, the deceleration in flight openings during this quarter. So maybe if you can share with us your thoughts on these and how are you seeing the capacity allocation from airlines for next quarters? And if you are still expecting the 6% traffic growth for this year aeronautically? Thanks.
Ricardo Dueñas: Yes. For this quarter, there were two routes that open, one was domestic. The other was international. One was opened by TAR; the other by Magnicharters. For the third quarter, we're expecting -- for the fourth quarter, sorry, we already have confirmed 19 new routes, out of those 12 are domestic, 7 are international. 7 are permanent and 12 are seasonal routes. And that would put us, compared to 2018, just to put it in perspective, 2018 there were 51 openings, 33 closings. Right now we're already at the same net number of routes as last year.
Mauricio Martinez: And regarding traffic, passenger growth?
Ricardo Dueñas: I mean, we believe a 7% -- some number around 7% will be achievable.
Mauricio Martinez: Perfect. Thank you.
Operator: Our next question comes from the line of Alejandro Zamacona from Crédit Suisse. Please proceed with your question.
Alejandro Zamacona: Hello, Ricardo, Ruffo and Emmanuel. Thank you for the call. Congratulations for the result. My first question is regarding the cost of -- I'm sorry, the MDP. I know it's probably early to discuss on this topic. But it would be interesting to know what's your initial expectations in terms of a CapEx and tariff for the following five years. And if you did believe that the cost of -- the strong cost control could affect the negotiated tariff for the next MDP?
Ruffo Pérez Pliego: Hi, Alejandro. We're still working on the MDP plan for next year. What I can tell you so far is the CapEx will be slightly higher than the one for this five-year plan, in order to catch up with strong traffic that we've seen in the last few years.
Ricardo Dueñas: And regarding cost controls, Alejandro, I mean, please remember that not necessarily all the costs that we incurred were recognized by the DGAC in previous negotiations, because they also established certain parameters and the reasonability on those costs. So now that we have more cost alignments to our other peers, I don't think it's going to have a significant impact or negative impact in our discussions with DGAC, you know that it will be aligned to what other groups have in margins.
Alejandro Zamacona: Okay. And do you have any expectations for tariffs?
Ricardo Dueñas: I think, we still are evaluating alternatives. We are closely following one of our competitors process and we'll have to see what the result of that negotiation is made before setting an expectation for ourselves.
Alejandro Zamacona: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Armando Rodriguez from Signum Research. Please proceed with your question.
Armando Rodriguez: Good morning, gentlemen. Thank you for taking my question. Well, my first question is on your balance sheet and considering these results, you show us net debt-to-adjusted EBITDA ratio below 0.3 times. Well, considering your strategic investments, my question here is, is these levels are sustainable? Or what we should expect in the following quarters? Thank you very much.
Ruffo Pérez Pliego: Well, we will pay up on as usual. We are building cash balance in every quarter. It was mentioned in the earnings release that we reported about MXN210 million worth of shares. In the past couple of years, the dividend has remained fixed. And even with that share repurchase, our net cash flow increased in the quarter. Given the expected investments for the current entity cycle, we will continue to build up cash and we will opportunistically play our shares if possible.And regarding net debt, we would like to have additional leverage. However, the level of dividends that we are able to pay depends on net fiscal tax earnings and we build that account with the growth of every year. So, we do not have significant impact to increase the dividend except for the growth in earnings -- in the current year.
Armando Rodriguez: Okay, perfect. Thank you very much and congratulations again.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Ricardo Dueñas: And I would just like to thank all of you for participating in this call. As you know, we're always available to answer questions and we hope to see you soon at our offices. Thank you and have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.